Operator: Good morning, everyone. Thank you for holding and welcome to America's Car-Mart Third Quarter 2013 Conference Call. The topic of this call will be the earnings and operating results for the company’s fiscal third quarter 2013. Before we begin, I would like to remind everyone that this call is being recorded and will be available for replay for the next 30 days. The dial-in number and access information are included in this morning’s press release which can be found on America's Car-Mart’s website at www.car-mart.com. As you all know, some of management’s comments today may include forward-looking statements which inherently involve risks and uncertainties that could cause actual results to differ materially from management’s present view. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The company cannot guarantee the accuracy of any forecast or estimates, nor does it undertake any obligation to update such forward-looking statements. For more information regarding forward-looking information, please see item one of part one of the company’s annual report on Form 10-K for the fiscal year ended April 30, 2012, and its current and quarterly reports furnished to or filed with the Securities and Exchange Commission on Forms 8-K and 10-Q. Participating on the call this morning are, Hank Henderson, the company’s Chief Executive Officer and President and Jeff Williams, Chief Financial Officer. And now I would like to turn the call over to the company’s Chief Executive Officer, Hank Henderson.
Hank Henderson: Good morning everyone. We appreciate you joining us today. Those of you who listened in on our last call I’ll just talk about how for the short term at that time we felt some pressure from increased competition due to the increased availability of funds in the sub-prime financing markets; well, apparently its true the competition can be a very good thing while certainly we always strive to do our best, I do think that the pressure we felt pushes to step-up our game a bit. We worked very hard for many years to earn the loyalty of our customers, our active customers, now number over 57,000. In this recent quarter, our General Manager’s put intense focus specifically on customer service and retention and their increased efforts are clearly reflected in the results as we saw retail units sales up 16% over the same quarter last year and its quite close to a 13% increase in revenue as our average sales price was down slightly year-to-year which is a good thing for our customers. Same-store sales were up 8.8% and as a group our newer stores have gotten off to a solid start contributing to our growth at expected levels. Jeff will give you more detail as to how our increased sales breakout by grouping by age of stores, but I would like to mention that we saw very good increases with all of these groups, which is an excellent indicator that our company is performing well across the board, as we don’t necessarily have one group picking up the slack for another. The biggest gain we saw were actually for those in the five to 10 year age ranks, which is extremely promising as we presently have 30 stores less than five years old. Results like these are a reminder that the younger stores can look forward to significant increases in sales in the years ahead. While on the topic of our younger stores, I am pleased to report that we're on-track for our new openings for the year, having opened three more stores recently, putting us at six for the year. In this past quarter, we opened our first store in Georgia, bringing us now to 10 states in which we operate and we're extremely excited about the possibilities for this new area. There are numerous towns throughout Georgia that fall into our ideal size range. And this should certainly be a big state for us. We presently have five more new location projects already underway; two in Missouri, two in Alabama and one in Mississippi. We feel confident that we will have at least four of these open prior to April 30th, year end, which will put us at the end for the year. I want to go ahead and turn it over to Jeff now to give you more details on our results from this past quarter. Jeff?
Jeff Williams: Thanks, Hank. As Hank mentioned, revenues for the quarter were at $119 million, up almost 13% from the third quarter of last year. Same-store revenues were up, increased 8.8%. Our lot managers are obviously doing a very good job of differentiating Car-Mart transportation offering from that of our competition. The funding of the auto industry has certainly increased, but we continue to perform well because we're focused on affordability and helping our customers succeed. Average retail sales price did decrease $125 or 1.3% from the prior year quarter which was generally in line with overall wholesale price trends in over the last 12 months but it did increase $282 or 3% sequentially as our older more mature dealerships experienced mass volume increases and these dealers tend to sell a higher priced car to a more seasoned customer base as well as the overall seasonal price increases that we see near tax refunds within each year. As we look forward, we do expect some sales price increases more in line with historical experience on a comparable quarter basis as we expect the demand for the type of vehicle resale to remain high, but we’ll work hard to keep price increases to minimum for obvious affordability reasons. Our down payment percentage was 3.9% for the quarter which was down from 4.3% or around $40 per unit from the prior year quarter and down payments were 5.8% for the nine-month period compared to 6.2% for the prior year nine-month period. The average down payment amounts for all (inaudible) was $602 which was down from $607 at the end of last January. Collections as a percentage of average finance receivables was 13.4% compared to 14.8% last year. For the quarter, our average initial contract term was 27.8 months compared to 26.6 months. Our weighted average contract term for the entire portfolio including modifications was 28.7 months compared to 27.7 months at this time last year. The increases in term are primarily related to our efforts to keep our payments affordable and to remain competitive with our payment amounts and to continue to work with our customers when they experience financial difficulties. We have been very aggressive on keeping our relative term length shorter over the last several years and we will continue to focus on this but we do realize that in order to remain competitive our term lengths may continue to increase some in the future. We are keenly aware of the downside with stretching out terms but we are confident that we can manage that risk appropriately and our expected cash-on-cash returns will support our decisions. We will not stretch terms or reduce downs any more than we think is absolutely necessary to attract to retain our target customers within our markets. The quality of our cars, the level of our excellence of service along with the 57,000 active accounts and hundreds of thousands of past customers will also help us to attract the target customers and to manage the risk side in a profitable manner. We have been serving our customers for almost 32 years now, and I believe that we are truly earning good solid repay business everyday in every dealership. The overall average retail unit sold per month for lot for the quarter was 29.4 compared to 26.9 for the prior year period. At the end of the quarter, 30% or 25% of our dealerships were from zero to five years old, 29% or 24% were from 5 to 10 years old and the remaining 61 dealerships were 10 years old or older. 10-year plus lots produced 33.1 unit sold per month for lot of the quarter compared to 31.7 for the prior year quarter at which represented a 4.3% increased in productivity for that group and lot from the 5 year to 10 year category produced 27 compared to 22 and our lot less then five years of age improved productivity of 23 units compared to 21 for the third quarter of last year. The improvements in our holder dealerships certainly moved in the right direction as we had expected. We have significant room for future volume increases from our existing store base. We will continue to aggressively target customer retention and highlight the benefits of our local face-to-face offering to the market. Interest income was up $1.3 million for the quarter due to the $34 million increase in average finance receivables outstanding. The weighted average interest rate for all of finance receivables at the end of January was approximately 14.9%, up slightly from this time last year. For the quarter, our gross profit margin percentage was 42.6% of sales from 42.2% for the third quarter of 2012. The improved gross margin percentage resulted from pricing efficiencies due in part to the lower average retail sales price offset by a slightly higher losses under our payment protection plan. Our goal is to balance affordability for our customers with appropriate gross margin percentages to enhance our customer success. Overall inventory for our vehicles remains tight. We do expect this condition to continue with gross margin percentages in the current range over the near-term. For the quarter, SG&A as a percentage of sales decreased to 17.7% compared to 18.3% for the prior year quarter. The $1.6 million increase in SG&A dollars related primarily to higher payroll cost and other incremental costs related to the new lot openings. We do expect the SG&A leveraging in the future as we grow our revenues. We are committed to leveraging the infrastructure of investments that we've made over the last several years. For the current quarter, net charge-offs as a percentage of average finance receivables was 5.7% which was flat with the prior year quarter. Principal collections as a percentage of average receivables for the quarter was 13.4% down from 14.8% for the prior year quarter. The decrease in principal collected percentage between periods can be attributed to the increase in the average term about one month, the timing of refunds from the IRS of this year compared to last. The fact that we did modify a higher number of accounts and we had more delinquent accounts in the 30 plus category which was certainly related to the IRS (inaudible) as well as the fact that our managers were given some additional leeway on deal structures for certain target customers during the quarter. Also in our continuing efforts to keep payments affordable in addition to the increases in term we've increased the number of special payments scheduled for taxes in 2013 when compared to prior years. Due in part to operational improvements, both IT and process related, we do expect increased principal collection percentages in our fourth quarter and we believe that the quality of the portfolio at the end of January is good but the credit losses for the full fiscal year maybe a little higher than we've historically seen. We expect that our success with the collections during the upcoming tax season will be the primary factor in our overall credit loss results for the full fiscal year. It is critically important that we help our customers increase their equity during this tax season which will serve to lower our credit losses not only for the short-term but out in the future periods. While we are behind the prior year with collections through January, the fact that net charge-offs was flat, and something we are very proud of represents the true long-term metric that is of most important. We are seeing good success with lower frequency of losses but the severity of each loss is a little worse and so this is an area that we are focusing on currently. Of course, we are actively working on all aspects of credit losses and we will continue to work to reduce our losses as we move forward. The lower collection percentage for the quarter, which we feel largely related to timing, had the effect of increasing our provision for credit loss on income statement by full percentage point. The fact that the current average selling price is lower, also have the effective increase in credit loss percentage on the income statement for the quarter. Again, by focusing our efforts on collections and minimizing charge-offs, we will see benefits in the provision for credit loss line as we move forward. At the end of January, our total debt was $109 million. We had a $36 million an additional availability under our revolving credit facilities. Our balance sheet is very healthy. Our current debt-to-equity ratio was 56.6% and our debt-to-finance receivables ratio is 30%. This ratio will improve in the spring as we work off our higher inventory levels. The increase in inventory related to our new store openings as well as our efforts to be fully stocked for tax time, and the timing of the bill relative to IRS refund timing. And we will see the seasonal improvements in collections in the fourth quarter. During the quarter, we repurchased over 62,000 shares of common stock for $2.8 million. Since February 1, 2010; we repurchased almost $88 million in common stock of 25% of the company and 25 dealerships under our receivable base by approximately [$102 million]. While we do intend to allocate some capital repurchasing share in the future when conditions are favorable, our primary focus and primary capital allocation will go to the healthy growth of our business and now I’ll turn it back over to Hank.
Hank Henderson: Alright and thanks Jeff. We are of course in the middle of the busiest time of year for us tax time. This is the time of year when our customers will have more cash in hand than any other time throughout the year which as Jeff already mentioned has been a big impact on both their sales and collections. Our stores right now are busier than ever with higher inventory levels that tend to increased sales traffic and existing customers with their tax max returns and counseling customers with the private plans and so on. We are well aware that how effectively we handle these tasks and take care of our customers at this particular time of year will impact our business for the remainder of the year. Fortunately, our management systems have been improved substantially in the past few years so we are now much better equipped to handle the increased volumes, the tax deals and seasonal payments. Most importantly, though, it is that we have a team of associates who are truly dedicated to our customers. Our daily intend is to provide our customers with the level of service that can only be realized with face-to-face long-term relationships that we provide and are the cornerstone of our company. We are very proud of this fact and what we have accomplished thus far. We are also well aware that we have many areas where we know we have room for improvement and I think that’s going to be most intriguing and exciting aspects of our company. While we do have a long history of growing and delivering solid results, at the same time, we can see a lot of opportunities where we can do better and we will. So with that concludes our prepared remarks. So now we would like to move on to your questions. Operator?
Operator: I would like to reiterate my earlier comments regarding forward-looking statements apply to both participants prepared remarks any time they may come up during the Q&A session. (Operator Instructions). Our first question comes from John Hecht from Stephens. Your line is open.
John Hecht - Stephens Inc. : First question, I wondered if you can give us some details on the monthly trends throughout the quarter, for instance you had a pretty sizable pick up in the units per sale per month in that 5 to 10 range. Was that fairly consistent throughout the quarter, was there any month that was strong than other month?
Jeff Williams: It was fairly spread out evenly among the three months, maybe a little bit of fall off just in January as folks weighted on tax money to hit, but not a big difference between months or maybe just a little lower in January and we’ve certainly seen that pick up in a big way, so far in February when the income tax refund money is out in the market.
Hank Henderson: Yeah, that’s a typical trend as we come out in this way with our promotion of the Zero Down people [pairing]. But then as you get a little closer when the returns are actually going to be in hand, it slopes down a little bit as some folks are going to wait till they actually have the cash in the hands, so that’s an unusual matter there really.
John Hecht - Stephens Inc. : I wondered if you guys could give us details or an update on the car mix, obviously car is last day longer, higher quality vehicles last day longer, have you seen any shift in the type of cars your customers are purchasing?
Hank Henderson: Not really, I think our mix is pretty typical where it has been for quite sometime. May be just very recently a little bit more anecdotal than a really hard data, but few customers coming in, wanting some more gas efficient cars in the recent few weeks, gas process is going back but overall our mix is still pretty [competent].
John Hecht - Stephens Inc. : Okay, and then Jeff you mentioned you might see provisioning a little higher in the near term just because of the changing dynamics with collections and down payments. Can you quantify that, I think your historical range has sort of been 20% to 24% of sales are we still in that range or is there shift in that given the shifting dynamics of the purchasing.
Jeff Williams: Yeah, I think historically we've talked in a 20% to 22% annual range as a percentage of sales. So we are looking at something above that 22% as a percentage of sales. And a lot of this again is timing in nature in terms of principal collected and taken that risk off the table. So we feel like over the long term those historical trends will come back in the line, but since we have stretched out the term in our current collections are a little less, it’s having the effect mathematically on the income statement of showing a little higher credit loss as a provision of sales.
John Hecht - Stephens Inc. : And last question is you guys are effectively inventorying your lots and you did mention inventories still tight. I wonder can you give us the breakdown on kind of wholesale versus direct purchases and maybe a description of how you are doing so well in that category.
Hank Henderson: I wouldn't say there's change solely if you are talking about where we actually get our vehicles, that's still pretty constant and I think we’ve talked about that before. We try to keep auctions at a minimum that hasn't changed a lot and so the majority of ours are kind of through the wholesale market.
John Hecht - Stephens Inc. : And can you get that breakdown percentage auction versus wholesale.
Jeff Williams: It’s probably at this point about 80%, 75% to 80% wholesale and less than 10% on the auction side.
Operator: Our next question comes from John Rowan of Sidoti & Company.
John Rowan - Sidoti & Company: Just one question on the term. I just want to understand where do you kind of see the limit as far as how long you are going to push the term, obviously there are some risks in elongated customer terms but is it two more months, I just want to understand where you guys think you run into material additional risks with these consumers as far as increasing the long term.
Hank Henderson: As we stated we are not going to go a week longer than we feel like we absolutely have to attract the better customers out there. But we do expect over the course of the next year to see that average term go up. We would like to keep it under 30 including modifications, 30 months. But we are a little we don't know exactly where that's going to land, but we do know that we are going to be very judicious in how we do that, who we do that for, and we are certainly not going to do it to anymore extent than we feel like we absolutely need to retain the better customers at our local markets.
John Rowan - Sidoti & Company: And what gets that back down, is it declines in our core prices or is it better employment market, when do you start to turn and go the other way.
Hank Henderson: Well, all of the above. If you go back to few years we got very disciplined, we actually brought it down quite a bit, in. Overtime, just working with our customers and where they are, it has gone up and down a little bit over the past few years and we felt like we had some room there. Some of that was in response to some competition, trying to be a little bit more competitive, not so we are going to go out there and it hasn’t gone out and done anything that we feel like it’s unreasonable, but because we had been more discipline with it we felt like we had a little bit of room to get there. Obviously, the average sales for us is going to affect that and then as we also mentioned, how good a job we do, utilizing this tax time, seasonal payments that sort of thing, that’s also going to effect term. Jeff also mentioned earlier, our down payment, were down a little bit. Again that was getting a little bit more competitive, which I think, obviously with the sales up, maybe certainly worth while, down payments going down can also affect that. So we've got all those different things to work with. So as we bring can down payments back up, keep our average process down and so forth, we should be able to control the term.
Jeff Williams: And the car we are putting out there are good solid car. So we wouldn't want to put a deal out there, with the term longer than the mechanical life of the car and we certainly are well below that and tend to stay well below that. The quality of car we putting out there is high.
Hank Henderson: You know, we talk a lot about repeat business and that’s a measurement for us. Let us know if we're keeping those terms where they need to be, because as long as we are continuing to get customers down that equity situation have some (inaudible). Customers pay off for all of it and then come back to us. So as long as we can maintain a repeat business, we think that’s a good indicator we have return at a reasonable range.
Operator: (Operator Instructions) Our next question is from Jordan Hymowitz from Philadelphia Financial. Your line is open.
Jordan Hymowitz - Philadelphia Financial : Question, the mean (inaudible) is starting to go down and you guys recovery rate I think it’s like 20% is that correct?
Jeff Williams: It’s little higher than that.
Jordan Hymowitz - Philadelphia Financial : Can you tell me the number?
Jeff Williams: It’s closer to 30.
Jordan Hymowitz - Philadelphia Financial : Okay, so would it be fair to think that each percent decline now one point because it’s a 125 index for these percent declining index 70 basis points so that decline would flow through to your losses?
Jeff Williams: Not necessarily. We have a number of losses that happened later in term and there is really a pretty solid four on the value of these cars. We are not starting at 20,000 we are starting at 9,000 and there is only so far down they go.
Jordan Hymowitz - Philadelphia Financial : It seems that you are further out on the curve that the cars (inaudible) which is more new or used car oriented as it is good of a measurement?
Jeff Williams: Right.
Jordan Hymowitz - Philadelphia Financial : And the second question is a couple of other companies Ford, GM have started to show a normalizing of losses in their auto book a little bit, still much better than normal, but they have been trending up a little bit. Do you see an industry wide normalizing of losses after being much lower than expected for number of years?
Jeff Williams: We are actually seeing as far as unit losses, we are seeing some decent improvements there and we haven’t seen any big shift one way or the other in loss rates and don’t really expect anything as we look out into the future. Our collections has been pretty consistent and loss rate is consistent, and we have no reason to think that that’s not going to continue?
Jordan Hymowitz - Philadelphia Financial : Okay, so basically the frequency of loss hasn’t really changed, it’s just a severity a little bit is what you are planning for at this point?
Jeff Williams: Yeah.
Operator: (Operator Instructions) our next question is from Daniel Furtado of Jefferies. Your line is open.
Daniel Furtado - Jefferies: Thanks, guys. My questions was that, it was just asked.
Operator: (Operator Instructions). Sorry, no further questions in the queue at this time.
Hank Henderson: All right, well, again thanks to everyone for joining us this morning, and as we mentioned we are right in the middle of the tax time and this is our critical time of the year for us. So we hope to continue and have great success with where we are right now and we continue to bring back some good results to you. Everyone have a good day, thank you.
Operator: Thank you. Ladies and gentlemen, these conclude the conference for today. You may all disconnect and have a wonderful day.